Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic First Quarter Fiscal Year 2014 Financial Results Q&A Session. (Operator Instructions) As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman Case: Thank you, and good afternoon. Joining me on today’s call is Jason Rhode, Cirrus Logic’s President and Chief Executive Officer, and Chelsea Heffernan from Investor Relations. Today, we announced our financial results for the first quarter fiscal year 2014 at approximately 4 PM Eastern. The shareholder letter discussing our financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company, as well as questions submitted to us via email at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risk and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. Now I'd like to turn the call over to Jason Rhode, our President and Chief Executive Officer. Jason?
Jason Rhode: Thank you Thurman. Before we begin taking questions I would like to highlight few other things we discussed in our shareholder letter. In Q1 we delivered strong GAAP and non-GAAP operating profit of 20% and 24% respectively on revenue on a 155.1 million. We believe these results position Cirrus Logic at the high end of our peer group’s performance highlighting our ability to efficiently managing expenses while investing a critical R&D initiatives. Additionally we’re increasing our investment in technical marketing as we evaluate, identify future product opportunities. We continue to generate cash in Q1 existing the quarter with approximately 272 million in cash or $4.11 cash per share. Cirrus Logic’s ability to leverage our core engineering competencies in existing markets where our innovative solutions are valued and help differentiate our customers products has been a key element of our success. Over the past year we have concentrated on broadening our custom and general market product portfolios in portable audio and LED lighting. We’re pleased with our progress in the June quarter as we continue to see strong customer interest in our innovative products design to enhance the audio and voice experience for mobile phones. We’re presently selling products into several additional mobile phone manufactures and are in discussions with multiple others. Design activity remains healthy in LED lighting particularly with our newest single stage LED controller as we continue to ramp with our existing customers and engage other OEMs. We believe innovation in these target markets is in the earlier stages and we continue to work with an expanding list of market leaders in order to capitalize on our revenue growth opportunities. Also I just like to note that while we understand there is intense interest related to our largest customer; in accordance with our policy we do not discuss specifics about our business relationship. Operator we’re now ready to take questions.
Vernon Essi - Needham & Company: I was wondering if you could give us a sense of the composition of sequential growth in the audio revenue outside of your customer, it looked like it was up nicely and you’ve mentioned in your letter shipping some catalogue parts to smartphones at a major lead vendor as well as looks like you’re doing some on the China’s front. Was this the reason for that growth and can you just give us a sense for what sort of were the mechanics the revenue outside of your largest customer in audio.
Jason Rhode: Yeah I mean that’s a significant part of it is the additional mobile phone stuff with this new catalog product. Actually it's a couple of catalog products the one that we have been kind of alluding to on the last couple of quarters earnings call the new ultra low power A/D converter for channel device it's optimized for variety of multi-MIC applications so that was a pretty good bit of it and then there was some other devices that were brought online little more rapidly than we had expected that are in some of these emerging market little more nibble opportunistic supplier as I would say for some of our other catalog devices that have been around for little longer and then on top of those, I think we had some strength in automotive, which is always nice to see, because it’s a business that’s near and dear to our heart. So, we think that, that’s a good sign over the long-term as higher end entertainment devices and systems proliferate their way down our customers’ product lines. So, what used to be available only in the real flagship model cars is now moving down to the entry level models. So, we think the entertainment audio in particular in automotive is something that for the long-term is a good growth opportunity albeit it’s nothing flash here or real dynamic, but it’s a good investment over the long-haul, probably kind of some of the bigger items.
Vernon Essi - Needham & Company: So, if we were to go back though and say rents out these newer parts that are going into incremental smartphones, would that other audio has actually grown or would it have been sort of flattish?
Jason Rhode: Yes, so, let’s see. So, if I look at non-portable audio in total automotive would have caused that to go up a bit.
Vernon Essi - Needham & Company: Okay.
Jason Rhode: But the new mobile phone stuff was definitely a significant portion of that growth.
Vernon Essi - Needham & Company: Okay. We are just obviously trying to track anything incremental here. So, I appreciate getting into that level of detail. And then Thurman, if you guide on the OpEx seems somewhat low and how should we think about and I think R&D is probably the big swing factor there, how should we think about that going forward you guys have had a state objective spend increasing amounts there? Are you struggling to spend more or is there sort of a little bit of a change going on there at the OpEx level?
Thurman Case: No, I think we have talked historically that OpEx for us can move around particularly on the R&D side based on product development expenses and the timing of those expenses and so forth. So, I wouldn’t take the – you can’t look at the guidance for this quarter and then assume that we are not able to spend enough. We will continue to invest in R&D and we would expect that to grow. And our product development expenses can be higher in future quarters as we did see as projects come to fruition and other things happen. So, I think we were down in the last quarter and our guidance is a little bit lower than it has been. We are managing our expenses, particularly on the G&A side, but we would expect that R&D will continue to increase.
Vernon Essi - Needham & Company: Okay, alright. Thanks a lot. I will go back to the queue.
Jason Rhode: Sure. Just a little, just to add one bit of color on that, an increasing percentage of our expected tape-out going forward are in the lot more advanced geometries. So, those can be a pretty significant pop individually on the expense line. So, as Thurman said, it can move around quite a lot quarter-to-quarter just depending on what level of tape-outs we have to have in particular quarter?
Vernon Essi - Needham & Company: Okay, thank you.
Jason Rhode: Sure.
Operator: Our next question comes from Andrew Huang from Sterne Agee. Your line is open.
Andrew Huang - Sterne Agee: Thanks for taking the question. This is (John Shannon) for Andrew. Can you talk about inventory management in the back half of the year?
Jason Rhode: Well, in real generic terms, we expect inventory over the course of this quarter to be flat to down a bit. We had quite a lot of moving parts so to speak within this quarter and so that makes it kind of hard I think for anybody externally to really extrapolate and look and see what’s really going on underneath that top level number. But as some of that settles out over the course of this quarter, we would expect to make progress towards a little more normal terms for us, which would be a bit lower inventory than what we had coming into the quarter.
Operator: Our next question comes from Christopher Longiaru from Sidoti & Company. Your line is open.
Christopher Longiaru - Sidoti & Company: Hey guys. Congrats on the guidance.
Jason Rhode: Thanks Chris.
Christopher Longiaru - Sidoti & Company: So, my question actually has to do with your other business segment industrial, it seems like it was up about 10% sequentially. Is that just some of the kind of core industrial biz that you always had just coming back after kind of a couple of years of weakness or is there some initial LED stuff on that? Can you give us a little guidance on how that’s going?
Jason Rhode: Yes, I mean, we don’t want to breakout details, but definitely, we are seeing good progress on the LED side. And then there is definitely some little more a bit of the over stuff as well that had a good quarter. So that’s good news from a the older stuff is good news from cash generation point of view and operating profit point of view and the LED stuff is great news from an indication of continued traction in that product line. The LED product line is a lot more of a base-hit (ph) business than I think people expect it to be because there are, it's a pretty small number of suppliers of light bulbs out there that really make up the total volume but if you dig underneath that it's a really large number of SKUs at each of these vendors. So even though we feel like we have got the premium products on the market it takes quite a while to penetrate a significant fraction on some of these product line and it really is a business where you got to win them product by product. So it's good steady progress on that and we continue to add in new business and we expect few things for that over the coming year and heading into next year the volumes are really expected to start to take off. So it was a good quarter on lot of fronts in LED.
Christopher Longiaru - Sidoti & Company: And just to remind us to I mean the gross margins on both of this are much higher in the corporate average if I remember correctly is that still the case?
Jason Rhode: Well LED is our expectation and it's really, it's a good question over the long term. LED, we expect to be supportive of the company average as that turns into a real business but that is a significant area that we spend a lot of time working on making sure that we’re adding enough value, taking enough passive components out of the board, making our system cost competitive. There is no question we have the best solution on the market today. In my mind the question is just how far down the cost benefit curve can we push that solution by making our device be part of the lowest bill of materials cost as well. So that’s a question that in my mind remains over the long term. Certainly the older industrial product such as Seismic for example, Seismic is much higher than the corporate average but it's also a pretty sleepy market.
Operator: Our next question comes from Tore Svanberg with Stifel. Your line is open.
Erik Rasmussen - Stifel, Nicolaus & Co: This is Erik Rasmussen for Tore, I just want to follow-up and apologize that this was mentioned earlier but one of the early questions though was on R&D and it seemed like some new spending level seem to be a little bit lower but you feel pretty comfortable with supporting future design activity, it seems to be accurate correct? And then just want to clarify that and then you mentioned that there could be some step-up in R&D and future quarters will potentially tape out. How big would those step-ups be? And I’ve a follow-on.
Jason Rhode: Well we don’t want to get far ahead of ourselves; our main goal is managing to our model which is delivered 20% operating. We don’t get too hung-up on how the expense breakout lands on a particular quarter because it's just not a good way to manage the business. But I think you can expect it to go up a bit over the course of the year, we’re continuing to hire and having great success in adding some truly exceptional talent over the last quarter and we expect to continue to do that but we’re trying to make sure that that remains heavily concentrated in the product development functions. Our team has done an amazing job over the past couple of years as our revenue grew much more quickly than we can keep up with from an hiring point of view. They have done a good job in filling in behind that and getting our staffing need short up because we have got some really compelling investment opportunities in front of those and we’re just trying to make sure that we got all the right people on board to be able to execute on those and I think the team has done a great job of doing that. In terms of in a particular quarter I mean a full 55 nanometer tape out it's a pretty significant expense relative to our total OpEx I think on the order (ph) of 1 million bucks so you can definitely have some if you’ve a couple of tape outs within a particular quarter and I know it like that it can definitely move the needle versus some of our older stuff where it's kind of in the (inaudible) you’ve a couple of tape outs in 180 nanometer or quarter micron and from a total expense module it is going to be noticeable. So, it’s just something that we have to count for. We certainly have a good view of what will land in the upcoming quarters. We have a pretty good track record of taking out stuff when we expect to and it’s something we take into account or we are more formulating on.
Erik Rasmussen - Stifel, Nicolaus & Co: Thanks Jason for that. And just one other question, can you just comment in your shareholder letter you talked about your general market devices and momentum in design activity picking up there? Can you just give us a little more color and what to expect the remainder of the year?
Jason Rhode: Sure. I mean, we are excited to be rampant with another supplier of high-quality phones. Like I said, it’s a general market product that product in particular provides a pretty ubiquitous function. And it’s really kind of part of an effort where we are targeting not only high fidelity audio, which has of course always been the strength of the company, but also trying to broaden out our appeal to folks that are trying to differentiate on the voice experience in some way or another. So, this particular product that we launched yesterday publicly, but obviously, it’s we have been working with various folks on it for longer than that. As a four channel aided view, the top demise for the voice microphone applications, and I think the team did really a remarkable job of shifting through all the various feedbacks that you get from your market putting a compelling product definition together, and then the engineering team just executing to perfection on it getting it on market in a timely fashion. So, we are shipping that with one customer today. We expect to be shipping it with others in the not too distant future. And then one of the more interesting trends has really been this emergence of interest from kind of the so-called white-box phone manufacturers who I think approach the market in a little more opportunistic way than others may. They are not so worried about making everything perfect, but they will need idea for a feature or a function and find a way to implement it with existing parts and get it done in a hurry and get it on the market to see how this looks. And so as long as we are able to maintain an interesting and compelling portfolio of catalog devices that’s a good way to support that market because frankly the volumes in a lot of those cases wouldn’t justify a custom product. So, it’s really an area we have to approach it with more catalog devices. And then longer term, we are certainly hoping to add more significant functionality in some of our catalog devices, the areas where we can add a lot of value with our signal processing capabilities, doing smart things with voices, and background noise, echo cancellation, all sorts of these noise type functions that enhance the voice experience in some way or another making a speaker phone louder is another good example. Those areas where somebody making any phone actually can find a way to differentiate on those advantages that doesn’t have to be a consumption centric device.
Erik Rasmussen - Stifel, Nicolaus & Co: Thank you. And maybe just adding to that on the white-box side, how competitive is that market and are those design cycles what do they look like in terms of what you are used to currently?
Jason Rhode: Well, they are very quick, but the great thing for us is that we have either got an interesting device for whoever it is that’s looking out on the market and ready to go and say design is imminent. And their design cycle is there to manage, we don’t have to get anywhere near a lot of this when we are doing a custom device for somebody. So, the design cycles can be quite quick. And it’s an interesting approach to, I certainly think that better results can be achieved if you are really spending the long time three years ahead of time plotting things out and making sure everything is just so and perfect, but there is certain markets that aren’t willing to pay for that. And it seems that certainly some of these white-box guys will kind of handle on how to get a product out quickly, ship a bunch of them, and then move on to the next item.
Erik Rasmussen - Stifel, Nicolaus & Co: Great. And maybe if I could just sneak one more in there, how is your visibility, normally you have a long-term visibility based on the roadmaps and as your largest customer, but has any of that changed, what is your visibility now, has it stretched or is it stayed the same?
Jason Rhode: Well I would anytime, I’m getting into our largest customer but anytime we’re doing a custom device it takes a year to design a new chip, it takes a customer a year to design the chip into their products. Everything we do is proprietary, we don’t pin compatible devices. So our customers if we’re in that kind of a relationship and happen to spend quite a lot of time with us back and forth. So I think we get quite a good visibility about what sort of design activity we’re getting in the custom space certainly in the areas where somebody is designing a catalog device with a shorter amount of visibility but it's still pretty reasonable given the nature of the fact that it's a, that we provide proprietary products. Again it's not like we participate in a lot of markets where we have got to pin compatible device with three other guys and whoever commits this is the purchasing guy who got the lowest price wins. We try to stay out of that market, we try to find places where we can add meaningful value for our customers to differentiate on and to some extent that limits the markets we can participate in but again we’re focused on finding revenue growth opportunities that contribute to the 20% operating business. So not everything fits that bill.
Operator: Our next question comes from Frank Teller with Barclays. Your line is open.
Frank Teller - Barclays: Just wanted to dig a little deeper into the catalog part, so you know I saw enhanced OEMs, could you may be give us an idea towards that gross margin profile in this product and it mustn’t be such a bad proposition as you describe better than expected growth in this customer in this quarter but your gross margins are around the mid-point of your range. So just trying to gauge how you guys are thinking about all that. Thanks.
Jason Rhode: We don’t breakout the margins of any of the products specifically, like I say we’re looking for revenue growth opportunities that contribute to a 20% operating business and there is a number of ways to get there either with scale or high gross margin on a low volume business works too, mobile phones usually if it's I think as I’ve said in the past with mobile devices if you’re making any sort of investment at all you better pick your customers carefully because you can certainly go broke supporting a wrong one if it involves a lot of them but in particular the new device that we’re ramping is we will regard as a great company and a great supplier of products so we’re excited about that, again I’m not going to get into the details on device by device margin but it's certainly good for us and it's a good time that our guys are targeting the right opportunities.
Frank Teller - Barclays: So the question the shift decision on nanometer is an effort to improve gross margins, do you guys are reducing cost for the customers presumably. So could you may be highlight some areas you have talked about some of the voice side, but can you guys add some more functionality in your solutions to maybe try to maintain the kind of dollar content that you guys become accustomed to. Thanks.
Jason Rhode: Sure yeah I think actually your second point I think really have put on the hat, really I don’t look at 55 nanometer as a margin play per say, because wafer pricing primarily is set by the Big Chip Digital folks and it's all on a, in a lot of ways on a relative basis and the assumptions the driveway for prices are usually based on the kind of shrink that you get relative to an all-digital product. When it comes to a device like ours which is typically more than 50% analog around 50% analog, the analog doesn’t shrink, in some cases it gets bigger and so it actually if you’re just building the very same product in a 180 nanometer and 55 nanometer you probably get some benefits while building a lower power than actually the device cost would in a lot of cases would actually go up. So for us to move to 55 nanometer there really needs to be a value proposition either size constraint or power constraint or hopefully the right answer is both of those plus the opportunity to add just a ton of signal processing capabilities that we wouldn’t be able to do in an older node and so that’s really the focus of our efforts and 55 nanometer is much more smart products, products that are differentiated on doing a lot of voice type signal processing, a lot more heavy lifting that we have done in the past on some of these low power devices. So, and I think it’s just kind of indicative of the arrow that we are moving into the products that we have seen all our lives on the adjustments of whatnot we are even just talk to your stuff and have it respond in some way. The internet of things is going to be composed of a great many different kinds of things and some of them are going to be really small, which is a good way to interact with different stuff. So, it’s an area that we are looking at and certainly more of the same in terms of being able to do great noise cancellation, echo cancellation, making speaker phone louder, these are all areas where our signal processing can add a lot of value. And if we can do the same device in 55-nanometer, but add a lot more signal processing power, a lot more memory that gives us capabilities we wouldn’t have otherwise. So, that’s really the thrust of it is kind of add more value in the same kinds of sockets.
Frank Teller - Barclays: Thanks Jason. One last one for Thurman if I could, so just wondering about how you guys are going to be managing your tax profile going forward once you guys just run out of your deferred tax assets going forward? Thanks.
Thurman Case: Well, as we said previously that for us we would really expect as we become taxpayers for that to be in the 35% range. We are looking at various opportunities and/or alternatives, but drastic measures in order to reduce our tax rate which would upset the business model has to be considered also. So, we continue to look at different alternatives and we will manage that down the best we can and still maintain integrity in what we are doing trying to run the business. So, all that said, again, probably be looking at when we initially become taxpayers at a 35% -- 35% tax rate, we will be looking at as many alternatives as we can to get that down.
Frank Teller - Barclays: Thanks guys. I appreciate that.
Thurman Case: Thank you.
Operator: Our next question comes from Robert Burleson with Canaccord. Your line is open.
Robert Burleson - Canaccord: Hi. Thank you for taking my question. Can you hear me?
Jason Rhode: Yeah, sure. Thank you.
Robert Burleson - Canaccord: So, just a couple of quick ones, can you just talk about what you think the smartphone dollar content trends might be for series might be from here, I know that, that’s moved around a lot depending on which ones you guys get, what’s your best handset, what the trend might be going forward?
Jason Rhode: Well, with respect to things that we are in today, I am not going to actually speculate on that for a bunch of reasons, but there is a number of it’s hard to put any color on it, it’s going to be helpful just in the sense that we are shipping multiple devices, and it’s quite a wide range of content depending on what sort of form it is. But we think over time there is a lot of opportunity to continue to add more value as we are able to bring a lot more of the signal processing capability that we are just talking about with respect to 55-nanometer. We think there is a lot of opportunity to add more value over time. And so that’s why, we are focused on the 55-nanometer so heavily.
Robert Burleson - Canaccord: Great. And then it sounds like…
Jason Rhode: Yes, there is just additional functionality that we hope to be able to bring there over the long-term.
Robert Burleson - Canaccord: Great. It sounds like gross margin expansion on the 55-nanometer ramp, is it necessarily something which you conclude? Can you just give us a sense for when the tape-outs hit you guys, hit R&D, and maybe when you expect the volume shipments on the advance mode?
Jason Rhode: Well, I mean, we will be taping out devices over the course of the rest of year. It takes on the order like I said earlier, it takes on the order of a year best case if the customers moving in the high rate of fee, it takes on the order of a year for a customer to design something new in and then get their product on the market. So, these are things we are working on that are on the horizon there, but they are very, very important for us.
Robert Burleson - Canaccord: Okay, great. Thanks.
Jason Rhode: You bet. Thanks, Robby.
Operator: (Operator Instructions) Our next question comes from Jeff Schreiner with Feltl and Company. Your line is open.
Jeff Schreiner - Feltl and Company: I was wondering if we can talk a little bit about just kind of the current visibility into voice enabled opportunities as related to Cirrus maybe during fiscal year ’14 and you know also trying to look at maybe if we can get a color about what’s the potential voice enabled revenue mix between maybe new customers or new design opportunities with an existing customers. Any color Jason you can give there?
Jason Rhode: Well we don’t want to get into too much into the specifics of things that are coming but and there is an element of it too that is definition question. So for example the socket that we’re ramping today is this multichannel voice A/D converter then it is obviously part of a voice system, so we consider that in the category of the question asked or in do we constraint ourselves in more to thinking about where we Cirrus are doing more of the voice processing and the noise cancellation or whatever, what have you. But noise cancellation is today a pretty significant piece of revenue. We expect that other technologies that we’re able to bring to bear that are along those same lines will continue to be a significant part of the value proposition that we offer going forward and then as well like this new A/D converter we have been talking about just supporting those type of functions and those type of algorithms in a very low power analog way is a great opportunity as well. A lot of our customers have their own algorithms and own ways of doing things and but for example if you want a microphone in a battery powered product to be on 24/7 that requires very, very low power analogs and processing upfront of any type DSP that might take place later and that’s a great opportunity for us as well. So, as the number of microphone channels in the world explodes I mean we see additional microphones going in anything that already had a microphone or two in it over the next few years probably ends up with quite few more and plenty of devices that have never had one start to gain microphones over the next few years and that’s a lot more analog input channel, that’s a lot more signal processing to be done and we think it's a big, it's quite an important vector for us going forward. So I can’t give you any specific numbers but it's a big investment for us, it's quite important.
Jeff Schreiner - Feltl and Company: Do you think you had, I mean I guess because (inaudible) you just kind of recognize what may be considered voice in this quarter.
Jason Rhode: Yeah I mean we ship, I mean again it's a bit of a definition I mean if we’re in a mobile phone most of the time all other voice and all of the audio goes through our device in some fashion or another. So we have added additional customers that’s really good, we have got a catalog, we got a number of catalog products that can be used in that kind of application that’s good and we’re investing heavily in doing more of the heavy lifting signal processing over the next couple of years so that’s from a long term vector point of view that’s extremely important.
Jeff Schreiner - Feltl and Company: And can you talk about maybe just how many new customers were shipping products during the June quarter just companywide?
Jason Rhode: I don’t have a good number for that. I mean our total I guess I could probably have sort of guess at the level that you would care about, in total we shipped 100s of customers every quarter and so going down looking at everybody that’s new. I mean of the significant ones there were multiple significant new customers that we count and track and we’re paying attention to design wins et cetera. So it's a very good quarter from a customer expansion point of view in my opinion.
Jeff Schreiner - Feltl and Company: And just final question for me is just if we look at R&D and the commentary obviously has focused around maybe what tape outs we’re going to be, but Jason how are you thinking about allocating R&D at this point right now between audio and industrial energy, given that you do have kind of the best model (ph) the Led and industrial energy but it sounds like there is a lot of investment been took upon for the long term with you know process and capabilities and what have you may be in the audio/voice segment. Can you help us out there?
Jason Rhode: Well in terms of process we have a strategic process that kind of runs in the background where we evaluate markets and areas that we want to allocate spending and then at a more day-to-day level the divisions have quite a lot of freedom to go do what they need to do, but I mean, we are not such a big company that general managers and I, Thurman, the marketing folks discuss this stuff all the time. And our goal is always to make sure that we are putting our R&D dollars on the best opportunity at any given time, which is if you manage a bunch of engineering folks smart what we have got, you will always have more opportunities, then you can possibly staff, no matter how many people you have around. So, the goal is really in staffing. The best opportunity is not the ones that are merely good. And so we have got a couple of processes that play into that, but really it’s a lot of – it’s just a lot of time where we all spend talking about it, thinking about it, and looking at the way to say it over getting back from sales what our engineering guys can dream of and what business propositions marketing folks can wrap around them. So, it’s complicated, but that’s really the fun part. That’s the thing that does keeps us all motivated in going is the opportunity that participate in some of these new emerging areas, work with really smart people, and bring new products to production. That’s the fun part of what we do.
Jeff Schreiner - Feltl and Company: Thank you very much.
Jason Rhode: You bet.
Operator: Our next question comes from Vernon Essi with Needham & Company. Your line is open.
Vernon Essi - Needham & Company: Thank you. Thurman, I want to just go back to the tax question just tactically, I wanted to double check, what is the deferred amount that’s remaining right now?
Thurman Case: We have about $71 million.
Vernon Essi - Needham & Company: Okay. And then on I noticed this is very small detail, but you have forecasted that you have going to have tax of 4%, so we’ll be taking that forward to the deferred assets complete?
Thurman Case: Right. If you take the deferred tax asset and look at it a 35% rate, that’s going to hit our GAAP P&L and when that runs, when we burn that off, then that will become a real cash tax between them, that 4% is probably going to be pretty consistent.
Vernon Essi - Needham & Company: Okay. And then totally switching gears here, Jason just to go back to LED a lot of suppliers into the market is sort of indicating that there is a knock-on when I say at the sort of an inflection point demand (inaudible) several times in this market in the past handful of years. I am wondering sort of if you are seeing any signs of that I am wondering you just sort of characterized as a base hit kind of market environment, but can you give us any more color as to what perhaps you are seeing in the dialogue with the end customers?
Jason Rhode: Yes, I mean, we did see the total market growing rapidly as investments get based out and people finally have a decent alternative to CFLs, which are pretty much universally reviled. So, it turns out that the individual bulbs themselves are it’s a very complicated design challenge. Obviously, one of the goals of our chips is to try to make that design challenge easier than the other folks, but fitting all that our electronics stop in the base of a light bulb, that was never meant to have electronics in it at all. It’s a pretty neat track. And so for anyone company you are kind of winning these light bulb sockets one of the time, and so that does put a cap on how quickly you can grow the business with anyone customer. I mean, obviously we try to do things like have reference designs and scale our support and everything else, but it’s a business we feel like we are doing quite well and we are adding customers. We are shipping more volume quite a bit more volume this quarter. We are excited about that, but it is an area where it’s a lot of locking and tackling, but you are right, I do think that there is an element, where especially as our customers are in a position to get lower cost products on the market that actually work better, so that they don’t get a bunch of returns. They satisfy the customer form a color, temperature, from a dealing point of view that we have seen individual models do better and better. I would say prior to about a year ago, the vast majority of the light bulbs, really the light bulbs on the market were really pretty awful. And it wasn’t a very good experience for consumers. So, you buy one of those and they were expensive so you go it's not like you’re going to run it right back to the harbor store buy a couple more. Now there is products on the market that are starting to be pretty good. We think it's the most reasonable proposition as to design they are using our device, obviously we always get their opinions but we feel very good about having a very good solution to some of the problems that have really plagued that market in particular the dimmer compatible one and then there is economies of scale with the LEDs, the housings and what have you, people get a little bit better at figuring out all the things that go bump in the night and ramping new products. We definitely see opportunities for that market to take off.
Operator: This ends our question and answer session. I’ll turn it back to management for closing remarks.
Chelsea Heffernan: Thank you operator. The questions submitted via emails this afternoon were answered during the Q&A. I’ll now turn it back to Jason.
Jason Rhode:
Operator: Ladies and gentlemen, thanks for participating in today's call. This does conclude the call. You may all disconnect.